Operator: Good afternoon and welcome to the BMO Financial Group’s Q3 2017 Earnings Release and Conference Call for August 29, 2017. Your host for today is Ms. Jill Homenuk, Head of Investor Relations. Ms. Homenuk, please go ahead.
Jill Homenuk: Thank you. Good afternoon, everyone, and thanks for joining us today. Our agenda for today’s investor presentation is as follows: We will begin the call with remarks from Bill Downe, BMO’s CEO; followed by presentations from Tom Flynn, the Bank’s Chief Financial Officer; and Surjit Rajpal, our Chief Risk Officer. After their presentations, we will have a question-and-answer period where we will take questions from pre-qualified analysts. To give everyone an opportunity to participate, please keep it to one or two questions. We have with us today, Darryl White, Chief Operating Officer; Cam Fowler from Canadian P&C; Dave Casper from U.S. P&C; Pat Cronin from BMO Capital Markets; and Gilles Ouellette from Wealth Management. On behalf of those speaking today, I note that forward-looking statements may be made during this call. Actual results could differ materially from forecasts, projections or conclusions in these statements. I would also remind listeners that the Bank uses non-GAAP financial measures to arrive at adjusted results to assess and measure performance by business and the overall Bank. Management assesses performance on a reported and adjusted basis, and considers those to be useful in assessing underlying business performance. Bill and Tom will be referring to adjusted results in their remarks, unless otherwise noted as reported. Additional information on adjusting items, the Bank’s reported results, and factors and assumptions related to forward-looking information can be found in our Annual Report and our third quarter Report to Shareholders. With that said, I will hand things over to Bill.
Bill Downe: Thank you, Jill, and welcome to everyone joining us on the call. BMO’s performance this quarter was driven by strong growth in our personal & commercial, and wealth business. Earnings per share were $2.03 in the quarter with net income of $1.4 billion, up 6%. Year-to-date net income of $4.2 billion reflects strong underlying growth of 10%, 16% if you include the impact of non-strategic assets in the current and prior years. These results demonstrate the continued benefits of our differenced operating model in an evolving environment. We are generating good and diversified revenue growth as we continue to execute against our strategic priorities, grow our business base and deepen customer relationships. Credit performance remains strong, reflecting the deep understanding we have of our customers, geographies and industries. We continue to grow our balance sheet responsibly and maintain a strong capital position with the CET1 ratio of 11.2%, after the repurchase of 4 million common shares completed near the end of the quarter. ROE improved from the previous quarter to 13.3%. Turning to slide five, I’ll touch at a few highlights from our operating groups. Canadian P&C continued to achieve good loan and deposit growth across commercial and personal products generating strong net income growth of 9% for the quarter and returning deposit of operating leverage as we focus on managing expenses in line with revenue. Our Canadian banking performance reflects our philosophy and practices with respect to managing risk and risk concentration to deliver consistent performance through the full economic cycle. We’re building on our fundamental strength and number two market share position in commercial banking by deepening relationships and expanding segments across industries and geographies. Commercial loans and deposits have grown at an annualized rate of 9% and 7%, respectively over the last two years and we expect to continue to have good growth as Canada’s economy remains robust. Our personal business has delivered strong deposit growth averaging 8% over the last two years, as we’ve made it easier for both new and existing customers to bank with us. We’re proactive in our response to changes in the marketplace and growing demand for digital interactions as we meaningfully transform the business. Percentage of everyday transactions that are banker-assisted now hovers at just 15% with mobile, critical sales and service channel rapidly overtaking online. Our focus is on delivering an experience that seamlessly blends the digital and personal dimensions of our offering with greater personalization across all channels, integrating human and digital advised based interaction. U.S. P&C commercial loans and deposits increased sequentially, reversing moderate declines last quarter with loan balances reaching US$51 billion, and we saw a stable credit performance. The business is absorbing the planned reduction in the indirect auto portfolio, delivering underlying year-to-date net income growth of 3% and positive operating leverage. Across our U.S. footprint, we are recognized as a leading commercial bank and trusted business partner. This is supported by a strong branch presence and retail deposit base that consistently achieves top tier market share. Our work to optimize process, modernize our physical footprint and build digital capabilities has resulted in net new customer growth and higher mortgage originations. We remain well-positioned to take advantage of opportunities within the market. Wealth management continues to deliver strong results with double-digit earnings growth for the quarter and year-to-date. Good performance in traditional wealth and insurance has been supported by improved equity markets and expense management. We made investments and innovated in our wealth franchise to take advantage of tremendous growth opportunities. And we’re consistently recognized for our commitment to provide clients with leading edge capabilities, products and service. In just under six years, we have doubled assets under management and administration to $878 billion. And in capital markets, our year-to-date performance remains strong with net income growth of 15% and positive operating leverage. For the quarter, good performance in investment and corporate banking was offset by the impact of markets and lower client activity in trading products. We are expanding our leadership position in Canada and accelerating growth in the U.S. through focused sector coverage, new and maturing client relationships, and a comprehensive product offering. Our strong risk and regulatory position is a source of competitive advantage and will support ongoing growth. Underpinning the advantages in each of our businesses is our approach to developing deep customer relationships and commitment to loyalty. The real benefit is the relentless focus of BMO’s over 45,000 employees who define a great experience for our 12 million customers in Canada, the United States and around the world. Guiding all of our strategic priorities is the fundamental commitment to sustainability and responsible behavior. Considering social change, financial resilience, community building and environmental impact is integral to our successful strategy and to long-term performance. And we are all proud of our Bank’s track record, which has been recently confirmed by being awarded the highest ranking for financial services companies worldwide in the 2017 Thomson Reuters Best Practice Ratings. This award highlights some of our accomplishments, maintaining carbon neutrality since 2010, achieving our goal of 40% representation of women in senior leadership roles, and maintaining a 30-year track record in responsible investment. Our businesses are strong, resilient, well-diversified, and positioned to deliver consistent earnings growth. We are advantaged with respect to opportunities in the current environment and over the long-term. And with that, I will turn it over to Tom to review our Q3 performance in more detail.
Tom Flynn: Thank you, Bill. I will start on slide eight. Reported EPS for the quarter was $2.05, and net income was $1.4 billion. Adjusted EPS was $2.03, up 4%; and net income was $1.4 billion, 6% higher than last year. Adjusted earnings back out the benefit of a reduction in the collective allowance of $76 million pre-tax or $54 million after-tax. This and other adjusting items are shown on slide 25. Adjusted net revenue of $5.2 billion was up 5% from last year. Quarter-over-quarter growth was 3% or 5% on a constant currency basis. Net interest income increased 2% year-over-year. Adjusted net non-interest revenue was up 8% with increases across most areas. Adjusted expenses were up 7% from last year, driven by higher employee costs including the impact of FX on deferred compensation as well as higher technology investments and other costs. Relative to the second quarter, expenses were relatively unchanged or up 2% on a constant currency basis. On a net revenue basis, adjusted operating leverage was negative 1.2% in the quarter, and the adjusted efficiency ratio was 61.9%. On a reported basis, efficiency was 63%. Year-to-date, adjusted operating leverage is good at 3.4% and 1.7% excluding the positive impact of certain non-strategic asset transactions. The adjusted effective tax rate was 22.5%, up marginally from 22% a year ago, mainly due to lower tax exempt income from securities, partially offset by a favorable tax item that is reflected in our U.S. segment operations. The adjusted effective tax rate on teb basis was 25.1%, down from 26.7% a year ago. Moving to slide nine. The common equity Tier 1 ratio was 11.2%, down 10 basis points from last quarter. As shown on the slide, capital growth was more than offset by higher source currency risk-weighted assets from business growth and the impact of buying back 4 million shares in the quarter. Moving to our operating groups, and starting on slide 10. Canadian P&C had good results with adjusted net income of $615 million, up 9% from a year ago. Performance benefitted from our strong commercial business, good deposit growth, and our continued prudent approach to mortgage market. Revenue growth of 5% was driven by higher balances across most products and increased non-interest revenue. Total loans were up 5%, personal loans were up 4% including a 4% increase in residential mortgages, and commercial were up 8%. Total deposit growth was good at 8% with personal deposits up 7% and commercial deposits up 9%. NIM increased 5 basis points from last quarter, primarily due to improved spreads on lending products and changes in mix. Expense growth was 5% and reflects ongoing investments in the business, including in our sales force and digital strategy. Operating leverage was positive 0.1% in the quarter. Provisions for credit losses declined compared to last year due to lower commercial provisions. Moving to U.S. P&C on slide 11. Adjusted net income was $289 million in the quarter. The comments that follow speak to the U.S. dollar performance. Adjusted net income of $223 million was unchanged from a year ago and up 15% from last quarter. Revenue was up 2%, as higher deposit revenue is partially offset by loan spread compression. Average loan balances declined by 1%. Commercial loan growth of 5% was offset by the decline in personal loans, which was largely due to the impact of the sale of a portion of our indirect auto portfolio in Q1 of this year. Excluding auto loans, average loans were up 2.5% from the prior year. Net interest margin increased 7 basis points from Q2, benefitting from the higher interest rates in the U.S., net of loan spread compression. Expenses increased 6% year-over-year, reflecting higher employee expenses, technology investments and marketing spend. Credit provisions were relatively stable compared to last year and down from last year quarter. Turning to slide 12. BMO Capital Markets adjusted net income was $293 million, down 8% from a year ago. Revenue of $1.1 billion was down 1%. Higher revenue in the investment and corporate banking business benefitted from good M&A activity and higher corporate banking related revenues. Revenue in our trading products business was down from the strong levels of the year ago, reflecting markets and lower client activity including lower activity in our equity derivative business, in part due to recent tax law changes. Expense growth of 11% reflects higher employee related costs including the FX impact on deferred compensation as well as business growth. Provisions for credit losses were down from last year due to net recoveries in the current quarter. Moving to slide 13. Wealth management adjusted net income was $279 million, up 23% from a year ago. Adjusted earnings in traditional wealth were up 17%, reflecting underlying business growth and improved equity markets. Insurance earnings were up 43% due to a modest benefit from favorable market movements in the current quarter relative to unfavorable market movements a year ago. Adjusted expenses increased 5% from a year ago due to higher revenue based costs and investments in the business. Assets under management and administration were up $15 billion or 2% from a year ago. Turning now to slide 14 for corporate services. The adjusted net loss was $102 million, largely unchanged from a year ago as higher non-teb revenue was offset by lower credit recoveries and higher expenses in the current quarter. To conclude, our performance this quarter demonstrates, again, the resilience of our diversified business model and our ability to continue to grow earnings. And with that, I will hand it over to Surjit.
Surjit Rajpal: Thank you, Tom, and good afternoon, everyone. Starting on slide 16. Specific provisions were $210 million or 22 basis points, down from 28 basis points in the prior quarter. The decrease in specific provisions was primarily as a result of lower losses in capital markets and U.S. P&C. In addition we had a $76 million reduction of the collective allowance, resulting in a total PCL of a $134 million. The collective allowance reduction was largely due to positive migration in our wholesale and retail portfolios. Total allowances at about $2 billion equivalent to 53 basis points are well above recent loss experience. Looking at Canadian P&C, provisions for consumer and commercial were flat in both portfolios. Provisions in U.S. P&C decreased $11 million quarter-over-quarter due to lower consumer losses. Capital markets had lower new provisions and recorded a net PCL recovery of $2 million versus a provision of $46 million in the prior quarter which was a result of two accounts. On slide 17, formations were $405 million, down significantly from $752 million in Q2 with quarter-over-quarter reductions in most industries. Gross impaired loans decreased by $290 million to $2.1 billion with all the reduction in the U.S. of which half was due to FX. The GIL rate was 56 basis points, a decrease of 7 basis points compared to Q2. Turning to slide 18. Our Canadian residential portfolio continues to perform well. Delinquencies decreased slightly and losses remained very low. Our GTA and GVA mortgage portfolios continued to demonstrate better loan-to-value, delinquency and bureau scores than our national average. In summary, we had a good credit quarter with positive migration and lower losses, formations and gross impaired loans. I will now turn it over to the operator for the question-and-answer portion of today’s presentation.
Operator: Thank you. [Operator Instructions]
Operator: [Operator Instructions] The first question is from Ebrahim Poonawala from Bank of America Merrill Lynch. Please go ahead.
Ebrahim Poonawala: Good afternoon. I’m sorry if I missed this in your prepared remarks. But, I just wanted to get some clarity in terms of when we look at sort of your slide nine on capital and the impact from the higher risk weighted assets. I was wondering if you can talk to in terms of one, how much of this was due to like -- because this was excluding the FX impact, like how much of it was driven by asset mix shift versus refinement of internal models? And what’s your outlook in terms of as we look forward in terms of capital build from here.
Tom Flynn: So, firstly, on the currency. The numbers that we are showing, as you point out, are excluding the impact of FX. We show the numbers that way because the FX impact on the ratio is largely hedged. And so, it’s not a driver of the ratio and so it’s easier to look at the changes excluding that item. The growth in the risk weighted assets in the quarter in source currency principally reflects business growth that we had across our operations. And so, that was the main driver of the growth. And on a go forward basis, subject to share buybacks which did reduce the ratio by the 13 basis points in this quarter, we would stick with our guidance of expecting to post modest growth in the ratio on a quarter-over-quarter basis. And in the past, we’ve talked about that in a typical quarter, and the numbers move around in any quarter as being in the zone of 10 to 15 basis points per quarter.
Ebrahim Poonawala: Understood. So, 24 basis points change, was it just what you would classify as typically driven by business mix change and growth?
Tom Flynn: Business mix, but really more than that just business growth, and the business is growing. And so with that, the risk-weighted assets grew in the quarter. And so, it’s a combination of mix and the growth.
Ebrahim Poonawala: Got it. And secondly, Tom, if you could just remind us in terms of as we think about operating leverage relative to 200 basis points year-over-year guidance, both in Canada and U.S., we saw a pretty decent jump in expenses. How should we think about in terms of as we think about the efficiency ratio from this point on, looking out over the next 12 to 18 months?
Tom Flynn: Okay. So, I guess, a few things on that topic. For the year-to-date, our operating leverage is above 3%. That does include the benefit of asset sales. And if you take out those kinds of transactions, so one-off asset transactions, the operating leverage is positive 1.7 for the current year-to-date, and last year, we were a little above our 2% target. And for this year, in total, we would expect to be at the current operating leverage for the year-to-date of 1.7 or more likely a little bit better. So, we’re shooting for the 2%, not quite clear yet at this point if we will hit it but we’re certainly in the zone this year, and we were better than at last year. Looking forward, to next year, I would say we continue to be focused on the relationship between revenue growth and expense growth, and we will be aiming for the 2% target that we’ve set for ourselves.
Ebrahim Poonawala: And just quickly, sort of if you can touch upon the expense growth in the U.S. Was there anything one-off in sort of the growth that you saw sequentially or year-over-year, and should we expect that to tick lower going into fourth quarter or this is sort of the right run rate going forward?
Dave Casper: This is Dave. I would say, to answer your question, we would expect the expense numbers in the fourth quarter to be lower than they were. There were a couple of one-time items there, a number of things we’ve talked about including the compensation and the FX relation, technology -- higher technology costs, higher marketing costs. But I expect in the fourth quarter, we’d get back to a normal range.
Ebrahim Poonawala: And approximately what -- should it be back to Q2 levels or somewhere in between Q2 and Q3?
Dave Casper: I look at the average for the year and I think we would be in that range, but certainly lower than the third quarter.
Operator: Thank you. The next question is from John Aiken from Barclays. Please go ahead.
John Aiken: Good afternoon. Tom, when the Bank was considering a reversal on the collective, were there any discussions centering around the upcoming changes to IFRS 9? My understanding is of course that IFRS 9 really impacts the specific risk of the collective. But, were there any discussions around this? And should we take this as a positive indication for Bank of Montreal?
Surjit Rajpal: John, this is Surjit. Let me answer that question. The IFRS is really a different accounting standard, which is yet to be put in place. It comes into effect next year. So, the current methodology that we use is under an accounting standard which is different, which is IAS 39. So, the computation we did of collective this quarter is using the methodology that we’ve used in the past and we’ve stuck with the methodology and we included the methodology. It hasn’t been governed by what may or may not happen under IFRS 9. So, these are two independent things.
John Aiken: Thank you, Surjit, I appreciate that. And then, I guess quick question for Cam on the domestic commercial borrowing. Can you give us some elaboration in terms of which industries you are seeing the growth coming through and whether or not there has been an aggressive competitive response to the growth that’s been happening system wide?
Cam Fowler: As the second largest player in the market, we will always feel competition as it comes, especially as it increases. And so, to your point, diversification is very important for us. We are number one or number two in most of the markets in commercial real estate and ag, and both of those businesses are performing quite well. Three or four other businesses for us are supporting lending growth. I would point to retail trades, transportation, tech and probably healthcare as the ones that are coming up the fastest behind accreting the ag that I pointed to. I would say though from a vertical perspective and the geography perspective and a pipeline perspective, the momentum is there and we feel good about it. This has been a pretty consistent business for us beyond being a big one. And so, the combined effect of modest PCLs and seven or eight quarters between 8% and 11% feels good and we expect it should continue.
John Aiken: Thank you. And what about the response of your competitors against the growth that you’ve been showing, in terms of pricing or…
Cam Fowler: John, I would say that you do feel the competition. We haven’t felt pricing pressure on the lending side; on the deposit side, there is some in some cases and where it makes sense in important relationships, we’re there; and where it doesn’t, we focus on more important operating accounts but we’re still at 9%. So I think we’re holding our own.
Operator: Thank you. The next question is from Steve Theriault from Eight Capital. Please go ahead.
Steve Theriault: Thanks. First, I’d just like to go back to capital for a second. Tom, just a follow-up. I hear you talking about business growth. From what I can tell, I was thinking it was the Basel I floor, looks like it cost about 20 basis points -- it cost about 20 basis points of CET1. Is that not the right way to look at it? It’s hard to tell, I guess, maybe with the currency flipping around a little?
Tom Flynn: I guess, a couple of things. First would be, the currency really doesn’t have a big impact on the ratio, given the hedge; second would be, the Basel I floor was up in the quarter. It was up mainly because Basel III risk-weighted assets were down due to positive migration and model changes, and those things aren’t reflected in the Basel I risk-weighted assets, and because of growth. And so fundamentally, to me, the RWA are growing because the business is growing, and that’s a biggest overall factor, even though a portion of that growth comes through the Basel I RWA as opposed to the Basel III.
Steve Theriault: Okay. And for Cam, if I could. Margin-up quite nicely, I’m sure better than you would have expected. So, maybe, you can touch on your shorter term outlook with respect to margin. Is there anything in the numbers, the big lift this quarter you would expect to revert? And if you can speak to your outlook, given pipeline, your expectations for mix the next little bit and the with the Bank of Canada rate hike?
Cam Fowler: Sure, okay. So, we’re stable year-on-year. The five points on the quarters is two things mainly. Mix is the biggest and within mix, we are growing deposits faster than we’re growing loans. And within the deposit growth, you are seeing as was pointed to earlier, quite strong retail deposit growth including checking accounts in double-digits and commercial growth at a good strong 9%. So, I think that’s the big thing. On the spread side, there is some benefit from pricing and some smaller onetime items. But, mix is where I would point. With respect to outlook, I think stable, possibly slightly down but quite stable for the next little while, based on my view of the pipeline and the mix within the pipeline. There is nothing particularly in these numbers from the Bank of Canada that will come through over the coming quarters in a modest way.
Steve Theriault: And what was the source of the pricing impact?
Cam Fowler: What was the source of the pricing impact? I think just good discipline on the lending side.
Steve Theriault: Okay. And then, lastly for me, going to capital markets, for Pat. I just wanted to ask if total [ph] run-off is all the numbers now in Q3 or is that continue to eke its way in, in Q4?
Pat Cronin: Well, thanks for the question. I would say, the impact of the Canadian budget change was very much in line with our expectations this quarter, very much in line as well with the guidance that we previously provided. And we have been executing on our mitigation strategy. So, all of that would suggest it mostly is in the run rate that you’re now seeing. You should expect a similar impact in Q4 and then obviously a full year impact in F18. But for the most part, the impact is in the run rate that you’re seeing right now.
Operator: Thank you. The next question is from Gabriel Dechane, National Bank Financial. Please go ahead.
Gabriel Dechane: Good afternoon. Just a quick number one and another on the U.S. commercial lending trends. So, on the tax rate, your tax rate spiked this quarter a little bit. You talked about some reduction in tax-exempt income but also a benefit from the recovering the U.S. I guess. What was the size of that U.S. recovery? And what should we expect for your tax rate going forward, given the new PRS trade going away?
Tom Flynn: So, it’s Tom. So, in terms of the tax rate going forward, we expect to have an effective tax rate in 22% to 24% zone, a little more likely to be in the upper half of that range than the lower half of the range. And the favorable tax item which was sprinkled through our different U.S. businesses was about 1.5 on the tax rate and as it happens it was largely offset by the impact of FX on our deferred cost. So those two items in the overall P&L were pretty close to a wash.
Gabriel Dechane: Okay. Thanks for that. My follow-up is on the U.S. business, and we’ve seen the trend in the industry -- commercial lending slow down; that’s continuing. And I believe in your comments you said margins were up because of the fed rate hike but that’s something that eat into that the expansion -- was spread compression. I assume that competitive intensity. My question is, as commercial loan growth is weakening or weak in the U.S. and banks are flushed with capital and hungry for growth. Do you think there is additional pressure that the pricing becomes such that it eats into fed rate -- future fed hikes? And we’re seeing I guess in the fed loan surveys -- loan officer surveys, there is some slackening of terms.
Dave Casper: So, this is Dave. A couple of points to just level set. We had had pretty flat for two quarters, commercial loan growth; this quarter, we had pretty good and strong commercial growth, 2% for the quarter, so 8% annualized. And going into the fourth quarter, we really have I think pretty good momentum and good pipeline. So, that said, to your point, there is -- I’ve been in the business for long time there; it’s always been competition, there continues to be. We have a couple of points that I think position us well. We have a very diverse commercial loan offering and we have very strong market shares in a number of our businesses. We compete hard, but we don’t always compete on price. In fact, that’s usually last thing we do. And given the fact that we’ve been in this business as long as we have and we’ve seen these clients through the cycle that positions us well. So, I don’t see big diminution in loan spreads. And I just think we’re going to continue to grow and build the business. Does that answer your question or anything else?
Gabriel Dechane: Yes, it does, excellent. Are you doing any more -- is there any greater participation in syndicated deals?
Dave Casper: No, no greater than what we would do in the past. We lead the numbers syndications and we continue to drive lead as many as possible. And that’s a good business for us.
Operator: Thank you. The next question is from Robert Sedran from CIBC. Please go ahead.
Robert Sedran: I actually want to follow up on Gabe’s line of questioning maybe flip to the other side of the balance sheet. I want to understand a little bit more the interplay between interest rates, the margin and the deposit performance. Have you been holding pricing to protect the margin on deposits or is there something else going on in that front?
Dave Casper: Well, we are basically following the rest of the U.S. banks as we look at our deposit. We think there is probably more competition than we expected on the commercial side. A great percentage of the deposits on the commercial side are there for to support services that we provide to them. On the retail side, we continue to do very well. We’ve got -- we have good growth in our non-interest bearing checking and we have decent growth in our interest bearing. And we continue to grow the deposits on the commercial side and the retail side with the exception of there is some institutional deposits on the commercial side with which we’ve lost on the last couple of quarters, which we expected to just as rates move up and institutions. We don’t pay the rate that they can get -- and these are large institutions, so they lead. So, all-in-all, I’d say we’ve done a very good job of protecting as much as we can on the deposits side the interest rate increases as have most of the U.S. banks.
Robert Sedran: Is that institutional business largely done now, Dave? And just as a follow-up to the comment on pricing. Are deposit betas basically performing as you would have expected or are they rising a little sooner than you might have expected?
Dave Casper: I would say, they’re performing about us as we expected. As I said, we expected that there would be a little bit more give in the commercial side, and there has. But overall, I would say, they’ve performed as we expected. And as far as institutional, there is some -- there is still some deposits that we would view as institutional that have stayed in the Bank. But over time, I would expect those rates go, we’ll lose some of us. We are replacing those though, with core deposits, as we continue to add new clients where there are more core deposits, not excess deposits.
Robert Sedran: Okay. Thank you.
Tom Flynn: I might add -- I’d just add one thing to that. We did have, on the personal side, a planned decline in a small brokered CD deposit book that we have. And it’s a small part of our deposit base, only about a $1.5 billion but it was down quarter-over-quarter. And so that in part might be what you are looking at. And away from that, our checking deposits were up and our money market deposits were up 5% year-over-year. And as Dave said, I think there is a general expectation that as rates in the U.S. move up, some portion of the more institutionally oriented commercial deposits will flow into money market instruments now to the banking system. And those are very low spread deposits for us and in a sense excess deposit. So, we’re not troubled by that; it’s in line with our expectations, and what other banks with similar balance sheets are seeing.
Robert Sedran: And Tom that brokered deposit business is running to zero?
Tom Flynn: It won’t run to zero. We use it as a bit of a toggle and we dialed it up a little bit around the time of the Transportation Finance acquisition that was the $10 billion acquisition. So, we took on a few more deposits. And so, we will maintain it. But, when we don’t need to grow it, it’s our highest cost of retail deposits; so, we let it drift down. But it will continue to be around, but it is a small part of the overall deposit funding.
Operator: Thank you. The next question is from Nick Stogdill from Credit Suisse. Please go ahead.
Nick Stogdill: Hi. Good afternoon. My first question is for Tom. You called out the impact of foreign currency translation on the deferred comp this quarter. How much of a drag was that at the consolidated level? And is this the regular expense that was only called out because of FX this quarter?
Tom Flynn: So, it is a regular expense, but it’s not really very small. And so, we haven’t talked about it before. It hasn’t been consequential item before. But we did have the Canadian dollar strengthen by $0.12 against the U.S. dollar and the pound in the quarter, so, big move in the currency. And with that the Canadian dollar share based deferred comp liability of our U.S. entities inflated. And it was close to $30 million on a pre-tax basis for us. So, meaningful enough that we thought we’d mention it. And going forward, I wouldn’t expect to talk about it. And again, we’re doing it really this quarter, just given the size of the move and the currency quarter-over-quarter.
Nick Stogdill: Okay. So, an extra kind of $30 million this quarter. Got it, thank you. And my second question for Cam just on the operating leverage in Canada; it improved this quarter from the second quarter. That was mostly driven by better revenue growth. What should we expect maybe for Q4 and into next year and should we still expect some improvement from here?
Cam Fowler: Thanks. As I said last quarter and have said in quarters prior, we’ve got a multiyear transformation going on in this business. The philosophy of the work is that we take cost out before put cost in. And in most quarters, six of the last seven, we’ve been able to keep the relationship correct between revenue and expense. I would expect that -- and this number at 4.7 is a productive thoughtful 4.7 I would say and that almost two-thirds of that is advice based sales folks in our distribution system for digital spend, which is focused on self-service or digital sales. So, I would expect in Q4, the number to moderate slightly. I am expecting operating leverage in the fourth quarter; I expect to travel into 2018 with the same focus.
Operator: Thank you. The next question is from Meny Grauman from Cormark Securities. Please go ahead.
Meny Grauman: Hi, good afternoon. I just want to go back to U.S. commercial loan growth and a big picture definitely people have talked about what’s driving the slowdown and policy uncertainty seems to be the consensus here. So, I am wondering from your perspective, do you agree with that or are there other things going on here to maybe are more long lasting? If you could just talk about a little bit more granularity in terms of what you’re seeing in the commercial loan side in terms of sectors, what’s working, what’s not?
Dave Casper: Okay. This is Dave. The first part of the question, it’s hard to tell in the U.S., throughout U.S. what is driving it. I would say and again I -- we probably did better this quarter than the industry in terms of kicking back up on the commercial side. The uncertainty is definitely having an impact on taxes, somewhat offset by what has already been some lessening of regulation, which has in some cases, encouraged some of our manufacturing clients. As you go sector-by-sector, we’ve had pretty good growth across all of the sectors, whether it’s automotive, whether it’s a diversified in Wisconsin or even Illinois, whether it’s our businesses that relate to some of our services industries. So, I don’t say that there is any specific area where it’s been negative. And I actually think -- and when I spend time with clients, most of them would say the economy in the U.S. is pretty good, they expect it to continue, and they expect some of the uncertainty to wane as we move forward.
Operator: Thank you. The next question is from Scott Chan from Canaccord Genuity. Please go ahead.
Scott Chan: Good afternoon. Just start sticking with the US side, there has been a lot of questions on commercial, but trying to put it all together in terms of expectations for earnings. If I look at your U.S. midcap versus comps over the next 18 months, they’ve got double-digit earnings expectations. Is that a reasonable kind of target for being more medium term? And what would be the factors, the main factors to watch for to drive it?
Dave Casper: Well, I don’t want to commit to any specific numbers, based on what you’re saying. I would say, I think we have pretty good prospects throughout our commercial and improving prospects in our personal business. And certainly, I would expect that to translate into improved earnings going forward. We’ll have more modest expense growth than we certainly did in the third quarter and increased revenue growth and our PCLs should do pretty well vis-à-vis this quarter and even next. So, I think all the components are pretty good, if you look at our pre-provision, pre-tax in each of the quarters in the U.S., it’s been up $20 million to $25 million each quarter sequentially. I think that bodes well for our future. And I think with potentially some rate hikes which we expect there should be some over that 18-month period, that would be an added plus for us.
Scott Chan: Okay. That’s helpful. And just quickly on capital markets, Pat. I noticed that full time employees were up 100 or 4% sequentially, which seems contrary to just the peers. What’s that related to and is that going to impact future operating leverage?
Pat Cronin: Thanks for the question. It was driven by a couple of things. One, you’re seeing, to some extent, the increase -- the addition of Greene Holcomb Fisher, the acquisition that we did in Q4 of last year, so, year-over-year that wouldn’t have been there; so that added some. We have been increasing for a while now our front office staff that are focused on regulatory and control related areas. And so that was a good part of it is well. And the rest of it is really just normal business growth in both trading products and investment in corporate banking as we continue to roll out new initiatives and growth objectives in both Canada and the United States. And I wouldn’t -- it’s nothing unusual in the FTE growth rate. I think it’s commensurate with the revenue growth that you’re seeing certainly in the year-to-date versus year-to-date and commensurate with our objectives for 2018.
Operator: Thank you. The next question is from Sumit Malhotra from Scotia Capital. Please go ahead.
Sumit Malhotra: First question is for Surjit on credit quality. I think earlier this year, you had -- you were very specific in reminding us that there could be some fluctuations in the loan loss level; we saw that in Q2 and certainly migrated lower this quarter. Maybe leaving the exact number aside, wherever your underlying credit metrics, your new formations are down pretty sharply, lowest level we’ve seen in a few years, overall gross impaired loan balances down pretty sharply as well. Is there any reason that we couldn’t see loan losses remain in the lower 20 range or are there parts of the portfolio that you feel are running at levels that you see is unsustainably good right now?
Surjit Rajpal: No, I think the portfolio overall, as you mentioned is of high quality and is doing well. There are always portfolios that we look at a bit more closely than others and there is a bit that we have as well. They are always small. And just to give you a sense of what I’m looking at specifically, the agricultural sector in the U.S. is a little strange relative to the other sectors. Our transportation and finance business is going through a cyclical -- has finished going through a cyclical low and is going to come back up. And so, we always focus on those sectors a little bit. But, I think to conclude -- to have, overall, in a benign environment and that’s how I would define the environment, to have it in the low to mid-20s to have a PCL in that range is pretty reasonable. The thing I always caution on these calls is that there can be variability quarter-over-quarter. And I’m always surprised of the reaction I get when there is a blip in one particular quarter. But, I do believe that I have the confidence that this -- the economic conditions are extremely good and serving us well in both the geographies and there is no particular portfolio of concern. We had the oil and gas story, which is behind us.
Sumit Malhotra: Yes. And I think that’s pretty consistent with what we’ve seen from the group this quarter. It almost seems like we’ve seen a step down or further improvement in credit, and that’s consistent with what you are messaging to us. The second question I have is for Cam and it’s on kind of residential mortgages, domestically. I never really think of this as BMO’s issue. You’ve talked the about the fact that you’ve got lower exposure here. Q3 is usually a seasonally good quarter, and it doesn’t look like BMO participated as much in the faster growth we’ve seen in Q3. First off, is that your -- some of the numbers we see on the outside, is that your view as well that you’ve exceeded some market share in resi mortgages? And if so, is that a cautious decision, on your part, to let some of the growth go?
Cam Fowler: There has been some moderation, so from a number between five and six to a number between four and five. And that’s pretty much in line with what we would expect. We’ve been making choices quarter-by-quarter as we move along over the last couple of years, and that’s true of where we sit here right now and I would expect we’d make them as we go forward. We’re pretty happy where we are right now. We are seeing a little bit of moderation in the market, but we continue to strengthen our business and invest resources where we think there are opportunities and we are doing that now. And then, I go back to the older frame, which is we are undersized nationally, we are undersized in Toronto. So, there are still opportunities for us and we are by no means pulling out of this market.
Sumit Malhotra: And that’s really the rub. So, as we go into the fall months, maybe some of the impact of the changes we heard about back in the springs, starts to have bigger impact on balances. Are you expecting another leg down for that, as you put it 4 to 5 now or do you think because you are undersized, there are pockets of growth for you to remain in that kind of growth range?
Cam Fowler: I think it’s probably a little bit more of the latter. There could be moderation. But, as a smaller player in the market in absolute, and this as a relatively smaller part of my total loan book and the Bank’s total loan book is therefore a smaller part of revenues. So, I am not anticipating feeling a meaningful impact on this in 2018. But I think your point about us looking for opportunities elsewhere to balance out in a range that’s similar to where we are now is about the right way to think about it.
Operator: Thank you. The next question is from Mario Mendonca from TD Securities. Please go ahead.
Mario Mendonca: Good afternoon. Before I go to Surjit, Tom, could you just help me think through the operating leverage guidance you offered? I think it was on the total Bank basis. And the way you descried it was year-to-date 1.7% excluding Moneris gain in Q1 and you would expect the full year to also be 1.7% excluding the Moneris gain?
Tom Flynn: Directionally, that’s what I said. So, we are 1.7% year-to-date excluding the net gain. And based on what we see in the fourth quarter, we are expecting expense growth in the fourth quarter to be very low and for us to have a good positive operating leverage at or potentially slightly better than the year-to-date number.
Mario Mendonca: Okay. I get it; that’s what you are suggesting for the Q4. So, that makes sense, I think I get it. Let me go on Transportation Finance then. Surjit, could you just talk about the size of that portfolio? Just help me think through how big this is. I remember that there is US$8.7 billion or so that was purchased but the overall size of this portfolio now, where the loss levels are at and what you’d expect them to be going forward?
Surjit Rajpal: So, the size is a little smaller than it was, and I will give you the exact number, it is about $7.1 billion right now.
Mario Mendonca: U.S., right?
Surjit Rajpal: Yes, 7.1 U.S. And as I mentioned in my earlier comments in response to Sumit, this is a cyclical business and it has gone through the bottom of the cycle. We have seen phenomenal improvements. The economic conditions are really good, spot prices have edged up and are now quite stable and are at the levels that these spot prices are, the truckers are making good money. The capacity -- at the heart of the issue this time was capacity. It wasn’t the economic condition. The last downturn that this sector experienced was because of economic conditions. This time, it was because of excess capacity. That capacity is slowly getting reduced, in fact, will get a little tighter because of some of the new changes that are being made with respect to what’s called the e-log mandate that’s coming to existence at the end of the current year. Basically, what’s every driver is required to do now is to not manually but actually electronically enter the hour of the drive because people have been driving longer hours than they are expected to drive. And that’s something that’s against the law. So, I think that’s going to move some of the spot prices in the right direction from our perspective. What we’ve seen in our own portfolio is an improvement in the delinquency. The delinquency rate both, early stage and late stage have improved. And our loss rate, the old delinquencies have to go through the late stage delinquencies, have to go through a process. But, we have seen those getting arrested as well. So, I am very positive in terms of -- I think that we’ve seen the worst of it and the economic environment is going to take care of the rest. It’s a good environment to be in, in this business right now. Having said that, we are seeing other evidences as well and that is the -- the price at which we’re selling, some of the trucks that we repossessed for instance, we are seeing that those are improving as well. So, everything is pointing in the right direction, and that’s why I say, this is out of the low end of the cycle into an area where we’ll see improvement. So, I hope that gives you some flavor for that portfolio.
Mario Mendonca: Yes. Have you seen...
Surjit Rajpal: The portfolio, we view all along, could be a cyclical portfolio, and we’ve bought it at a time of the cycle when losses were sub 20 basis points or so. And we know that that was not sustainable. So, this is not unexpected at all. The question is how soon will this turn around? And we feel that that time is coming and we will see it turn around.
Mario Mendonca: So, delinquency is better, loan loss is lower, utilization moving higher. And how about -- just to be clear, residual values, the sales, the amounts that you’re actually realizing on sale. Are you seeing that’s turned the corner as well?
Surjit Rajpal: Yes. We are seeing better residual value in these prices.
Operator: Thank you. The next question, the last question is from Doug Young from Desjardins Capital Markets. Please go ahead.
Doug Young: Hi. Good afternoon. Just on the -- positive migration was mentioned a few times, obviously related to the collective release and then the risk weighted assets. I just wanted to delve -- or can you delve into a little bit about what’s going on around positive migration? Where would I see this in the supplement? Is this just shift in your internal ratings? And why did it occur this quarter, just trying to get a little bit more detail around that?
Surjit Rajpal: The positive migration on the commercial side was broad-based, as I mentioned; some of it also has to do with oil and gas. There was a fair bit of migration around the oil and gas side. And so, that you will not notice in any one sector, but you can notice it in terms of what you’re seeing as emerging as formation. So, the fact that the formations are down is an indication that obviously the portfolio is getting better that there are fewer formations coming our way. So, when you triangulate, you should conclude that it’s easy to understand why we say that our migration is positive. Now, I have obviously a lot more granular data portfolio-by-portfolio, and that’s how we calculate our collective allowance. Our collective allowance process requires you to look at each portfolio with fair amount of granularity and then look at what the expected loss is going be and then there is a little bit of judgment as well that’s used. That’s the current IAS 39 methodology that we use. So, when we did it on that basis, the number that we came back with was an improvement of $76 million. And I did give you some flavor of where that was, it was a little over -- 60% of it was in commercial and then there was an element of it in consumer as well. And in consumer, we also backed out some of our assumptions that we make with respect to the judgment factors that we use.
Doug Young: Okay. That provides a little color. I may follow up on few other things on that side. And then, just lastly, traditional wealth management, just struggling a little bit. I know the earnings were up 17% on an adjusted basis, but AUM and AUA was up 1% or 3%. And so -- I can’t imagine it’s related FX. So, maybe the average balances were a lot higher to the quarter or is there some additional items that kind of went through in that positively impacted the results.
UnidentifiedCompany Representative: In the revenue line, there are two lines where there is a knee [ph] line and neuro [ph] and you would expect that the asset we’re managing would impact the neuro [ph] line and not the knee [ph] line. And in this quarter the knee [ph] line was quite a bit -- grew quite a bit -- grew faster than neuro [ph] line; that’s one reason. And the second reason is FX. I think we show 2% asset growth actually after FX it’s 5%. And so, the difference between the neuro [ph] growth and the asset growth is only about 1%, and that can be accounted for by commissions and also direct investments that we have that aren’t impacted by the market. So, it’s largely the growth in knee [ph] which is faster than neuro [ph] and FX.
Operator: Thank you. There are no further questions registered. I will turn the meeting back over to Mr. Bill Downe.
Bill Downe: Thank you very much, operator. And thank you for that question. This is my last call and so -- Jill [ph] gets asked the question. I’m glad you are able to finish that way. I want to take a moment to express my personal appreciation for the support of the many stakeholders of the Bank over the last decade. And I’ll start by thanking the analysts and portfolio managers who regularly participate in these calls for both your engagement and the candid feedback that you provide us. To the Bank’s employees who put our brand and values in to action every day, our Bank’s ability to adapt, renew and grow in relevance everywhere we do business is a direct reflection of your commitment to our customers. I’d also like to recognize the strength of our executive team and in Darryl White, who have proven their ability to deliver results. It’s been a great honor and privilege to lead this organization. I have every confidence that under Darryl’s leadership the Bank will build on our track record of success and service to our customers. Thanks very much and good bye.
Operator: Thank you. The conference has now ended. Please disconnect your line at this time. And we thank you for your participation.